Operator: Good day ladies and gentlemen. And welcome to the First Quarter 2009 Mannatech Earnings Conference Call. My name is Anthony, and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. (Operator Instructions). I would now like to turn the presentation over to your host for today's call, Mr. Gary Spinell, Vice President of Finance and Administration. Please proceed, sir.
Gary M. Spinell: Thank you, and good morning everyone. This is Gary Spinell. And welcome to Mannatech's first quarter 2009 earnings call. Before we begin the call, I will first read the Safe Harbor statement. During this conference call, we may make forward-looking statements which can involve future events or future financial performance. Forward-looking statements generally can be identified by the use of phrases or terminology such as will continue, may, believe, intend, expects, potential, should and plan or other similar words or the negative of such terminology. We caution listeners that such forward-looking statements are subject to certain events, risks, uncertainties and other factors and speak only as of today. We also refer our listeners to review our SEC submission. Thank you. And now I will now turn the call over to Mr. Wayne Badovinus, Mannatech's President and CEO.
Wayne L. Badovinus: Hello, and good morning everyone. This is Wayne Badovinus, President and CEO of Mannatech. It is a pleasure to be here to update you on the progress we are making. Although, the economic environment made this a challenging quarter, we are confident we have laid the foundation to manage and grow our business. Within our results for the quarter, we see clear signs of considerable positive change in the business. Our fourth quarter 2008 launch of Osolean resulted in driving a growing segment of our business fat loss. In late January, we launched our version of an economic stimulus plan or ESP plan as we called it, and our associate base has responded with tremendous enthusiasm. The ESP plan provides a lower product packed cost for new associates entering the business. As a result of our 499 pack, recruiting and pack sales rose considerably compared to the previous quarters. We also continued to aggressively manage expense levels. Consequently, they remain lower than in previous years. And as mentioned on our last call, we reached a settlement with the Texas Attorney General. This concludes our last major outstanding litigation. It is noteworthy that the Texas Attorney General stated that our products were not in question and the business model was not challenged. While many of our results were positive, we still reported a net loss of $4.8 million or $0.18 per diluted share in the first quarter of 2009. This compares to a net loss of $2.3 million or $0.09 loss per diluted share for the first quarter of 2008. Net income was negatively impacted by temporarily paying higher commissions as we transition to the lower price pack. In late January, we move from selling our $1,100 All-Star business builder pack to a more affordable $499 pack. Associates who had previously purchased the $1,100 pack are eligible to receive a specific bonus based on this higher price for a period of 120 days. Steve Fenstermacher, our CFO, will provide additional insight on this in a few minutes. Our operating expenses for the first quarter of 2009 were $30.9 million, a 22% decrease compared to the first quarter of 2008. In the three quarters since we began our expense control initiative, operating expenses are running over 31% lower than the previous three quarters. This is an important achievement and reflects our team goal of creating a sense of accountability and attention to detail across our organization. We remain confident we can continue to effectively manage and grow the business while maintaining strong cost control. First quarter 2009 sales were $70.7 million, a decrease of 22.7% for the same quarter in 2008. A large portion of the sales shortfall came from our North American market, where net sales were down 27.6% versus prior year. International sales in the quarter were down 14.3% versus prior year results. This was also due to the slowing economy worldwide and a negative currency exchange environment. International sales would have only decreased 7.8% when calculated on a local currency basis in comparison to the first quarter of 2008. On a positive note, I mentioned on our last call, we began to see signs that our recruiting was regaining momentum in the fourth quarter. In order to provide additional perspective on our recruiting trends, we are now providing the number of new associates added by quarter. This data shows that recruiting is growing. New associates added in the first quarter of 2009 totaled 36,545 representing an increase of 5.1%, compared to the first quarter of 2008. Our first quarter recruiting level was also an increase of 6.1% over our fourth quarter new associate additions of 34,383. And it was an increase of 26.4% over the third quarter of 2008. Much of this additional recruiting growth came in February and March after we introduced the new pack price. These recruiting results were driven by two important factors. First, Osolean our fat loss product, which was the key product driver in recruiting in the fourth quarter of 2008, it continued driving recruiting in the first quarter of 2009. Second, the launch in North America at the end of January of our 499 business builder pack is powering substantial growth and the excitement among our independent associates. Since the launch, our recruiting of new associates has climbed steadily. The trend continues today. The dramatic rise in recruiting has also generated strong growth in pack sales in North America. North American pack sales were up almost 9%, compared to the first quarter of last year. In comparison, worldwide pack sales in the first quarter were down 10% from prior year. North American pack sales increased 34%, compared to the fourth quarter and almost 25%, compared to the third quarter of last year. These are substantial increases and demonstrate that our strong focus on recruiting and business building growth is generating significant results. The lower price pack entry point is also drawing an increase in new automatic orders. The jump in recruiting, the strong domestic pack sales increase and an increase in automatic orders are the critical leading indicators of our business. No doubt about it. I believe we have established a base from which our business will grow. Before I provide additional perspective on our business in future opportunities, I will turn the call over to Steve Fenstermacher, our CFO, who will discuss our financial performance in more detail.
Stephen D. Fenstermacher: Thank you, Wayne and good morning everyone. As you've heard during Wayne's remarks, Mannatech has made considerable progress in reinvigorating our domestic business by reversing the trend of decline in both new recruiting and the pack sales. These two performance factors have always been regarded as leading indicators for future sales trends. We are confident that the successful introduction and field acceptance of the new $499 All-Star Pack has begun a renewal of growth in our home market. We must continue to add new features and products to our business. But the critical task of beginning to rebuild domestic recruiting has been addressed and is so far progressing well. To recap before we explore our results in greater detail, sales were $70.7 million for the quarter, our operating deficit was $5.7 million, our net loss was 4.8 million and the deficit per share was $0.18. As we've mentioned in our last several calls, Mannatech has been focused on controlling our operating expenses very tightly. We noted in our fourth quarter 2008 conference call that our fourth quarter expenses were the lowest in years. Our operating costs in the 2009 first quarter were even lower than that fourth quarter figure, of course, excluding the litigation accrual reversal in the fourth quarter. Our costs were brought down about 22% versus the prior year to less than $31 million, a reduction of almost $9 million. We've planned on continuing this level of expense control during these uncertain economic times, so that as our sales begin to show growth, we will be positioned to produce a strong incremental sales flow through profit rate. Our balance sheet continued to show essentially no long-term debt. And at March 31, we held $35 million in total cash on the balance sheet. Wayne referred in his commentary to our annual sales event, MannaFest, which was held here in Dallas, Fort Worth in mid-March and was attended by associates from around the globe. The costs for this annual event are significant, and are contained within our first quarter results. We successfully reduce MannaFest expenses by about $1 million this year in areas which were transparent to our attendees. However, the cost of this event is considerable, about $1.3 million. Therefore, if the cost of MannaFest is subtracted from our operating expenses for the first quarter, we achieved an operating cost level which positions us extremely well to produce flow through from higher sales. We realize that expense control is only one facet of a turnaround, and that sales increases are necessary to improve profitability. But much of the difficult work of intelligently reducing operating expenses without choking off productivity has been accomplished. We are very pleased with the results of MannaFest. And as Wayne mentioned, our domestic pack sales and global recruiting, both posted increases in the first quarter reversing extended declines. The renewed focus on building our associates' business, with a smaller, more affordable All-Star entry level pack has touched the right nerve in many people, offering tremendous opportunity against the backdrop of depressing media economic coverage. And now, we'll address our major cost areas. A number of items had impact on our product cost numbers. Our cost of good sold rate was 16.6% for the quarter, above the 2008 prior year three month period by 2.5 percentage points. The rate increase had several primary components. One was due to directing greater production to our Australian vendor, which resulted in additional currency exchange deterioration and temporarily increasing our translated Australian product cost. Another was a write-off of promotional inventory in the UK this year against a contrasting favorable 2008 adjustment. The last item was the notable increase in domestic pack sales against last year, and this is the most important part. The proportion or mix of pack sales rose almost 50% due to our improved recruiting. Currently, the All- Star Pack carries a higher sales price discount against regular associate pricing to encourage purchase and as a selling tool for our associates. In this higher proportion of discounted sales increased product cost rates. Commission and incentives expense was 47.7% in the quarter, which was an increase of 1.2 percentage points, compared to the 2008 first quarter. Paid commissions were increased by 1.2 percentage points, compared to the prior year quarter. Our paid commissions increased in rate to sales to 44.4%, greater than last year by 1.1 percentage points. The increase reflected the effect of higher domestic packs sales as the All-Star Pack carries a high overall bonus and commission rate. The tremendous improvement in our domestic recruiting and the popularity of the All-Star Pack in new recruits was partially responsible for the increase along with the recruiting numbers triggering a high number of what we call power bonuses which is a monetary reward for new business builder associates who grow their down lines under specific parameters. Part of the increase also reflected changes in product mix and the proportions of sales generated from each country. Incentive costs were 3.3% of sales versus last year, which was 3.1% in rate. The first quarter includes the kick-off of the annual travel incentive contest for our associates. And the qualifying period extends into May. We approve the costs for our travel winners during both of first and second quarters. The increased recruiting figures reflect the impact of the attractive incentive travel prices, along with the reduced cost to purchase the All-Star Pack. We're encouraged by the projected number of travel winners as well as the overall recruiting levels. From our perspective on these incentive contests, we want to continually emphasize growth in all phases of our incentive spending to benefit our shareholders, the company and our associates as well. The current pack sales and recruiting results suggest that this incentive will be effective in that regard. Total operating costs of $30.9 million accounted for 43.7% of the sales. This rate in total was roughly even with last year and the dollar level was lower by $8.9 million or 22%. Depreciation again was $3.1 million or 4.4 percentage points in rate and about $100,000 higher than 2008. Compared to last year, selling and administrative costs in total were down by 4.5 million. Much of the reduction was due to lower salary and related personnel costs reflecting the reductions in force of last July and most recently in January 2009. Also the costs savings of this years MannaFest shows up in this line which we mentioned earlier. Other operating costs were decreased $4.5 million or 32%, compared to Q1 of 2008. This category includes travel, professional fees such as legal and audit, credit card discounts and other banking fees and other such costs. We controlled expenses in virtually every facet of this classification and we continued to watch all expense areas closely. We plan to maintain essentially this tight level of corporate support for the time being while a number of our sales and recruiting programs are undergoing refinement and implementation. The operating loss for Q1 was $5.7 million, and the pre-tax loss was $7 million. Net loss for the quarter was $4.8 million compared to 2.5 million in the prior year. Our expense control programs reduced the negative flow through on the sales decrease to about 12%. Our first quarter results were reduced significantly by the continuingly unfavorable international currency exchange rates, which have deteriorated since last fall. In our financial statements, sales from markets outside North America show a decline of $1.5 million for the first quarter. However, if the exchange rates from a year go were used, those market sales would translate about $5 million higher. So, obviously our sales and operating profit numbers have been impacted seriously by the exchange rate deteriorations. Also, the other income and expense section below the operating line was a deficit of $1.3 million for the first quarter as the unfavorable translation rates also decreased evaluations of those other assets. The Australian dollar, the New Zealand dollar, the Korean won and the British pound all showed weakening against the U.S dollar as financial worries have moved around the world. These rate declines have hurt us for several consecutive quarters. It appears that April results showed a mild reversal of the rate difficulties, but accurate trend prediction and global currency markets is elusive in these very fluid economic times. As we mentioned, our loss per share was $0.18 diluted for the quarter, last year was $0.09. Our balance sheet for 331 underwent minimal changes since year-end with still essentially no long-term debt. Current liabilities were reduced by about $1 million from the prior levels and operating cash was drawn down by about 4.5 million. Equity continued to comprise the bulk of our capital structure. Our ending inventory decreased $1.1 million to $13.2 million versus December. We have safety stocks of several of our fairly expensive larger volume product components and these are responsible for a significant portion of our overall inventory balance. We paid a dividend of $0.02 per share during the quarter using about $1.5 million in cash. We again did not repurchase shares during the first quarter. We had roughly $700,000 in capital additions, once again mostly systems related enhancements, which centered on our web presence. Also, our tough decisions in cutting our expense levels and lowering our breakeven point are being maintained. But the current tough economic conditions require close and constant monitoring of costs, which will continue while we cultivate the early signs of recruiting and sales growth. In summary, our most important numbers. Domestic recruiting and pack sales are improving and have strengthened since the launch in late January of our new All-Star plan. These positive trends are the result of our focus on blending and spreading the benefits of both out of Mannatech products and the Mannatech opportunity. We believe this combination together is the best available in our business and the promise of our positive recent trend is very exciting. Thank you for listening. And now, Wayne will wrap up the call.
Wayne L. Badovinus: Thank you, Steve. There is much more work to do, yet we believe we have the solid footing to move Mannatech forward. I want to address four areas that will each be critical in the future of Mannatech and our business. One, maintaining recruiting and pack sales momentum; two, maintaining cost control; three, Mannatech's unique product line; and finally and four, continual generation of associate excitement and commitment. To continue the recruiting and pack sales momentum, first we will rollout the 499 pack in stages worldwide over the next three to six months. The increase in recruiting and pack sales achieved in North America is indicative of potential growth in our international markets. Second, we are working diligently on a major modernization of our website. The new site expected to launch in the next few months will have a fresh and vibrant look. Users will enjoy the increase in ease and moving around the site. The site will include video, quick access to product information, and easy order entry. This effort is clinical to future recruiting and retention. Third, we have begun a series of regional meetings which continue the themes originated at MannaFest. I will be traveling to all of these events, as will key sales and marketing officers. This approach will help continue to drive the momentum of recruiting and the excitement rapidly building in our associate base. Finally, we anticipate generating additional sales and recruiting momentum with the recent rollout of our Osolean powder, single used packets. These packets are a convenient traveled size portion of Mannatech's popular Osolean fat loss product. New launches always generate recruiting and sales opportunities. In regards to cost control as Steve indicated, we are running at the lowest expense level in years. With this low expense structure, we are well positioned to see a flow through to the bottom-line when we achieve our anticipated sales increases. In my experience, cost control is a painful but critical element of profitability and pays great dividends in periods of accelerating sales. It is important to take a minute to restate that the quality and value of our product line is unsurpassed. Mannatech offers unique cutting edge, patented, proprietary products and nutritional technologies for all age groups and all lifestyles. We are committed to bringing the benefits of our life changing products and business opportunity to the world. For example, we will match our multi-vitamin product PhytoMatrix against any other comparable product on the market. PhytoMatrix contains no mined minerals, rather products can... well, other products contain, our other products contain only natural plant derived minerals, natural vitamin complexes and stabilized phytonutrients. We believe its quality is unsurpassed. A recent randomized, double blind, placebo-controlled study crossover human study indicated the Mannatech's BounceBack significantly reduce muscle soreness after physical activity or overexertion. As a 65 year old grandfather, this product has brought real change to my ability to enjoy my grandchildren. And just last week Mannatech announced that a recent study finds Mannatech's Ambrotose Complex significantly improves visual discrimination and the working memory and help the young adults. Recent studies suggests that more people today are concerned about maintaining their cognitive ability as the age than their physical heath. There are several other studies as shown on our nanotechscience.org website indicating increased memory and cognitive ability in adults as a result of using our products. In addition, I want to share with you a sense of the renewed enthusiasm of our associates. As you know this business hinges on their belief and excitement in the company and its products. Associates left our annual convention MannaFest extremely excited about their future and Mannatech's future. Many hailed the event as the most beneficial in years. There was significant focus on product and compliance training, wellness, global science business building and on growing the leadership skills of our business builders. Everyday, I receive phone calls and e-mails or personally visit with associates who eagerly tell me about their renewed sense of pride and enthusiasm. I have received countless storage from associates covering dramatic sales increases, attendance at our regional meetings and how members of the down lines are bringing two to three times the number of prospects with them to meetings. And the participation in our three weekly Y.E.S Calls has grown geometrically. In closing, it is imperative that we discuss the intuitive disconnect between our current quarter financial results and the impressive increase in recruiting in domestic pack sales. You are well aware that recruiting in pack sales are leading indicators of future sales and growth in this business. At the same time, finished product sales are a lagging indicator. This lagging effect is seen by the decline in our finished products sales as a result of declining recruiting in the last half of 2007 and most of 2008. Consequently as our new recruiting in automatic orders take hold, the volume will build to become the new finish product base over time. Jumpstarting new recruiting in pack sales is no small achievement. Our consistent focus on the wellness industry and business building is generating these tangible positive results. After this call, I am making my third trip to meet with our international associates and offices. Based on my prior visits, I believe the strategies we have implemented in the U.S. will be effective world wide. You can understand why I am convinced that we have laid the foundation for growth in our business. Before we take your questions, I do want to apologize for a communication error that occurred at the end of our last earnings call. A technology problem developed with the phone lines that prevented us from hearing the operator and any one wanting to ask a question. There was no intent to avoid answering your questions. And now, we'll take your questions.
Operator: (Operator Instructions). Our first question comes from Peter Park from Park West Asset Management. Please proceed, sir.
Peter Park - Park West Asset Management: Hi. Of the 26.4 million you have in cash, can you tell us how much of that is operating cash versus non-operating cash? And how much is international versus available in the U.S.?
Stephen Fenstermacher: Sure, Peter. Good morning. In rough terms, that figure is entirely operating cash. In comparison with prior balance sheets from several years ago when we were carrying higher balances, there was specific longer term investments being made that you may recall if you have that level of history with our financial reporting. So primarily, this is looking at our cash as an operating number at this point in time. And in terms of distribution, each of our operating officers around the world obviously require working capital et cetera. So it split were... fairly evenly among our officers.
Peter Park - Park West Asset Management: So, if you continue to have losses, at one point do you consider raising capital since you are running... your cash balance keeps shrinking?
Stephen Fenstermacher: That's always a question for any company undergoing some transformation, Peter, as you would certainly be aware. Our situation to a certain extent is mitigated to somewhat by the relatively high level of depreciation that we carry due to our computer conversion of several years ago. We have about $3.1 million per quarter in depreciation. So, really looking at our cash situation that has to be taken into account. In addition, the period of time that we're in currently with significantly unfavorable translated operating results from our international countries also has somewhat of a distorting effect on our financial statements in that results which are fairly vigorous in several of the countries when distorted look much smaller converted to U.S. dollars. So the U.S. dollar strengthening against some of those currencies obviously has an impact there as well.
Peter Park - Park West Asset Management: Right. I'm just talking about the cash, and the cash was down $1.5 million. And it's all operating cash and you keep losing money. I don't know, I'm not talking about the depreciation, I'm just saying cash is going down. You need cash. But enough on that. Second on the inventories. I noticed that your days of inventory still is in the 230 days of inventory type levels, which seems really high. Is there... can you give me a sense of what you are... why it remains that high and what your game plans is?
Stephen Fenstermacher: Certainly. As we've mentioned previously, roughly a third of, excuse me, more than a third of our overall inventory level reflects our carrying of raw materials. And we have several fairly high cost raw materials which we inventory and then send to our blenders and manufacturers to produce our finished products. These are considered essentially as safety stocks and also include some high level purchasing contracts that we've had over the years. So, our inventory of finished products both here and abroad continues to turn in that relative three to four times per year average. We do have significant safety stocks of several of these proprietary components of our products and that makes up over a third of our balance.
Peter Park - Park West Asset Management: I don't understand. If your inventory days are 232 and then you are saying a third of your inventory is either safety stock or raw materials, then that arithmetic doesn't add up to me that in turns three to four times a year?
Stephen Fenstermacher: Well, I'm sorry. I would focus if I were you on the differential between carrying the raw materials, which are delivered in high dollar amounts to us obviously rather than a more metered situation. And the in-safety stocks are kept specifically so that we avoid any kind of stock outs with the potential problems from any of our raw materials vendors as opposed to our specific blending and manufacturing groups.
Peter Park - Park West Asset Management: Great, thanks. I think those are my two questions. I'll get back in the queue.
Stephen Fenstermacher: Okay. Thank you.
Operator: (Operator Instructions). And we do have a follow-up question from Peter Park.
Peter Park - Park West Asset Management: Sorry. Back on the inventory, are there... is there a certain aging of inventory that we have to think about or is that inventory all fresh and there is no old inventory in there right?
Stephen Fenstermacher: That's correct, Peter. As... if you come through the submissions a little more carefully you see that our inventory reserves form a very small portion of our overall results. Most of our product throughput as we've mentioned before is on automatic order to our associates which means each month fresh product is being delivered to their doors automatically through our computer records and system. So we have had relatively few inventory reserve write-off situations and the raw products obviously are packed extremely well and are not exposed to any environmental factors. Finished products, obviously, are in consumer packaging and as long as we continue, our current rate of turn, there is no particular danger of significant write-off of any type.
Peter Park - Park West Asset Management: Great. And I'll just keep firing away on the questions. Are there any legal reserves left in the accrued expense category on the balance sheet?
Stephen Fenstermacher: In terms of payables?
Peter Park - Park West Asset Management: Yes.
Stephen Fenstermacher: On the balance sheet, yes, there are some payments due to the Attorney General or related to the Attorney General settlement, let's put it that way.
Peter Park - Park West Asset Management: Right. And I think there was $6 million as of the end of the year. Is that the only legal reserve in that accrued expense category?
Stephen Fenstermacher: If you're speaking of 12.31 figure, there was also a payable related to the class actions settlement. Class action settlement payment has been made and initial payment related to the Attorney General settlement has been made as of March 31st.
Peter Park - Park West Asset Management: Got it, great. And then can you, I don't know if you already mentioned this because I got on late, but can you talk about how April and May were trending?
Stephen Fenstermacher: We actually can't give you any specifics about April and May. There was mentioned May during the text of the discussion related to the excitement that we have related to continued recruiting of the new $499 All-Star Pack was introduced in late January. And so far we are very pleased on a continuing basis with what we're seeing from it.
Peter Park - Park West Asset Management: Okay. But you can't tell... you can't talk about how April and May sales are trending?
Stephen Fenstermacher: No, we make it practice of keeping our discussions to this specific quarter.
Peter Park - Park West Asset Management: Okay. Can you talk about in the first quarter then, how what the linearity was like for January, February and March? That's the past quarter.
Stephen Fenstermacher: The most obvious comment is that the improving trend began with the introduction of the newly priced All-Star Pack and that was in late January. But further than that we don't go into specific detail.
Peter Park - Park West Asset Management: Great. Thanks and good luck.
Stephen Fenstermacher: Thank you.
Operator: And we have no further question in queue. I'd like to pass the call back to Wayne Badovinus for closing remarks.
Wayne Badovinus: Thank you all very much for being with us today. And we'll look forward to speaking with you at the end of the next quarter.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Everyone have a wonderful day.